Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2016 Grand Canyon Education Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will have a question-and-answer session and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host for today's conference Mr. Brian Roberts, General Counsel. Sir, you may begin.
Brian M. Roberts - Secretary, Senior Vice President & General Counsel: Thank you, operator. Good afternoon, and thank you for joining us today on this conference call to discuss Grand Canyon's 2016 first quarter results. Speaking on today's call is our President and CEO, Brian Mueller; and our CFO, Dan Bachus. This call is scheduled to last one hour. During the Q&A period, we will try to answer all of your questions. And we apologize in advance if there are questions that we are unable to address due to time constraints. I would like to remind you that many of our comments today will contain forward-looking statements with respect to GCU's future performance that involve risks and uncertainties. Various factors could cause GCU's actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in GCU's SEC filings, including our Annual Report on Form 10-K, for the fiscal year ended December 31, 2015; our quarterly reports on Form 10-Q; and our current reports on Form 8-K. We recommend that all investors thoroughly review these reports before taking a financial position in GCU, and we do not undertake any obligation to update anyone with regard to the forward-looking statements made during this conference call. And with that, I will turn the call over to Brian.
Brian E. Mueller - President, Chief Executive Officer & Director: Good afternoon, and thank you for joining Grand Canyon University's first quarter fiscal year 2016 conference call. In the first quarter of 2016, enrollments grew by 8% and revenues grew by 16.9%. New online enrollments grew in the mid-single digits. Operating margins are at 30.3% for the quarter. We had another good quarter, and I want to thank our faculty and staff for the hard work they continue to put in to make this happen. At this time, I want to briefly review our most important initiatives. The first initiative is to build a high-quality student body. Our traditional campus growth is going as planned. We are on track to start fall with about 17,500 students. The average income in GPA of our new students will be approximately 3.5. The Honors College is growing rapidly as well. We expect enrollment in the college to be approximately 1,200 students with average income GPAs of approximately 4.1. Our online student body also continues to grow from a quality perspective. 48.5% of our working adult students are studying at the graduate level, which is 190 basis points up from a year ago. 67.4% of our students are studying in areas that provide the highest graduation rates, which is 110-basis-point improvement from one year ago. Our first quarter online student persistence rate was 92.7%, which is up 30 basis points over first quarter of the prior year. We'll continue to grow the online campus at between 6 percentage points and 8 percentage points per year. The second initiative is to continue to improve the quality of instruction in the classroom, which is already very high. As our student body grows, it is important that the highly supportive caring community-oriented culture of GCU become even stronger. We are keeping our average class size to less than 25 on a traditional campus, and less than 16 on the online campus. This stands a stark contrast to many universities that continue to raise tuition and fees and crowd students in the large lecture halls or online classrooms of 500 or more. We have embedded academic excellence centers into almost every residence hall. Most students don't have to leave their dorm to get additional one-on-one academic support. I want to thank our faculty for their total commitment to student success. To give just one example, our entire math faculty, on a traditional campus, shows up twice a week in the evening to lead special group sessions. We've continued to expand our Early Alert system, and add virtual learning networks and special learning communities to provide ground and online students with additional support. It's important to note that we are adding these support systems while freezing tuition on our traditional campus for the eighth consecutive year. This discussion is important, because it's a demonstration of how the terms not-for-profit, then for-profit and traditional and non-traditional are no longer terms that have their historic meaning. We think it's very important in the future, universities are evaluated based on the results they are producing with their students, and not on completely unrelated items like tax catch (4:55). Third, last quarter I mentioned a new STEM programs that we've recently rolled out or are rolling out in the fall. Programs in computer science, mechanical engineering, information technology, electrical engineering, biomedical engineering, computer programming, business information systems, biochemistry, molecular biology, environmental science, electronic engineering technology and mechanical engineering technology. Students will return in the fall to a new 170,000-square-foot STEM building, full of state-of-art class rooms and laboratories. By this fall start, we will have 200 academic programs across nine colleges, offered on a new and modern campus for the 150 of those programs offered online. Most unique aspect of this education model is that the economy does not have to take a hit in the short run in order to produce educated students that will make a contribution in the long run. We are educating students that will make a contribution to the economy in the long run, but we are doing it while making a significant economic contribution by growing our employee base, paying $97 million in taxes and not requiring state subsidies. Fourth, our co-curricular areas are going to reach new heights this coming year. Visitors frequently talk about the vibrancy of our campus. There are hundreds of activities that come out of our theater, music, dance, debate a very large intramural and club sports program as well as 21 Division I athletic programs that keep the campus alive and active. All these activities give our students an opportunity to get connected and become part of the community, which is why we believe we are exceeding our retention goals. The quality and character of our students, the involvement of our faculty having an alcohol-free campus policy, the commitment we have made to our own 160 person police force and the vibrancy of positive activity has led to having a very safe campus. This has become an attractive feature given the sexual assault and other crime problems many universities are experiencing. I want to take a moment to discuss our attempt to move the university to a not-for-profit status, which would have been supported by for-profit service company. The structure proposed was almost identical to the structure that exists between many not-for-profit universities and for-profit service companies. The HLC visiting team, we believe, did an outstanding job. We're appreciative of your professionalism and very thorough work. They recommended to the board that we'd be granted approval to move forward. We believe the IRS would also have granted us approval. The board turned down the visiting team's recommendation with no path forward. Again, we still have a hard time understanding the board's decision given what we were proposing is common practice in higher education today. We understand that there have been bad actors in the for-profit space. We have absolutely nothing in common with most of the institutions in the for-profit space as the vast majority of them are nationally accredited vocational technical institutions such as refrigeration, cosmetology, truck driving et cetera. In addition, Grand Canyon University has no problem with current or proposed rules to regulate for-profit institutions. Evaluating whether an institution provides for the public good should have nothing to do with tax status. Our work in the community is transforming in intercity neighborhood and I want to thank our students, faculty and staff for their commitment to this mission. In addition to educating students, property values are up 30% in our neighborhood and crime is down 30%. Going forward, we hope to be evaluated based on the results we are achieving independent of our tax status. Net revenues were $227 million in the first quarter of 2016, an increase of $32.9 million or 16.9% from the $194.1 million in the prior-year period. Operating margin for quarter one 2016 was 30.3% compared to 28.8% for the same period in 2015. Included in operating expenses during the first quarter of 2016 was $1.2 million in legal and other professional fees related to our proposed move back to a not-for-profit status. Excluding these expenses, our operating margin for quarter one 2016 would have been 30.8%. Net income was $43.7 million for the first quarter of 2016 compared to $34.2 million in the prior-year period. After-tax margin was 19.2% compared to 17.6% for the same period in 2015. Instructional costs and services grew from $78.7 million in the first quarter of 2015 to $94.7 million in the first quarter of 2016, an increase of $16 million or 20.3%. This increase is primarily due to the increase in the number of faculty and staff to support the increasing number of students attending the university and increased benefit cost between years. In addition, we continue to see an increase in occupancy costs including depreciation and amortization as a result of us placing into service additional buildings to support the growing number of grounds for additional students, and an increase in dues, fees and subscriptions and other instructional supplies primarily due to increased licensing fees related to educational resources and increased food costs associated with a higher number of residential students. As a percent of revenue, IC&S increased 120 basis points to 41.7%, due to the factors described earlier. Admissions advisory and related expenses, as a percent of revenue, decreased to 13% primarily due to our ability to leverage our admissions advisory personnel across an increasing revenue base. Advertising expense, as a percent of net revenue, decreased 100 basis points from 10.3% in quarter one of 2015 to 9.3% in quarter one of 2016. Marketing and promotional expenses, as a percent of net revenue, increased 10 basis points from 0.9 of 1% in quarter one of 2015 to 1% in quarter one of 2016. With that, I would like to turn over to Dan Bachus, our CFO, to give a little more color on our 2016 first quarter and talk about changes in the income statement, balance sheet and other volumes as well to provide the detailed information on our guidance in 2016.
Daniel E. Bachus - Chief Financial Officer & Head-Investor Relations: Thanks, Brian. Revenue per student was up year-over-year due to the 17% student growth in our ground enrollment, while online enrollment increased 6.1% over the prior year. When factoring in room, board and fees, the revenue per student is higher for ground students than for our online students. Online revenue per student was up this quarter due to the extra day of revenue earned due to Leap Year and the 1% tuition price increase in the September of 2015. Scholarships, as a percentage of revenue, decreased from 19.3% in Q1 2015 to 19.1% in Q1 2016, due primarily to a decrease in the traditional scholarship rate year-over-year as a percentage of total revenue due to an increase in ancillary revenues. Online scholarships, as a percentage of related revenue, were flat year-over-year. Bad debt expense, as a percentage of revenue, stayed flat at 2% year-over-year. Our effective tax rate for the first quarter 2016 was 38% as compared to 38.8% in the first quarter of 2015. The lower tax rate in the first quarter of 2016 over the prior year was primarily due to the continued phase-in of market sourcing for apportionment of Arizona sales and a slight decrease in the Arizona corporate tax rate. As Brian mentioned earlier, we incurred $1.2 million in legal and other professional fees in the first quarter of 2016 related to proposed not-for-profit conversion. These expenses are included in general and administrative expenses. Included in interest and other income is $1.7 million related to the proportional share of equity income related to our ownership interest in LoudCloud. Excluding these one-time events, our diluted EPS would have been $0.92 per share. We repurchased 396,000 shares of our common stock at an aggregate cost of $14.6 million during the first quarter 2016, and we increased our share repurchase authorization by $100 million in March of this year and extended our authorization date repurchases to December 31, 2017. Turning to the balance sheet and cash flows, total cash unrestricted and restricted and short-term investments at March 31, 2016 was $195.4 million. Accounts receivable net of allowance for doubtful account is $7.5 million at March 31, 2016, which represents 3.4 days sales outstanding compared to $6.7 million or 3.4 days sales outstanding at the end of the first order 2015. CapEx in the first quarter 2016 excluding our offsite development of $7.7 million was approximately $49.8 million or 21.9% of net revenue. As we've discussed previously, this was greater than originally anticipated, as we are able to acquire some large parcels of land east of our campus. Construction on three more apartment-style residence halls, a 170,000-square-foot classroom building for our College of Science, Engineering and Technology, a student service center and a fourth parking structure for the fall 2016-2017 school year continues. We still estimate that 2016 CapEx will be approximately $180 million excluding the offsite office building and parking garage that I'll discuss in a second. We have no further material land acquisitions planned, although if opportunities similar to those that occurred in Q1 2016 occur, we will strongly consider them. Included in offsite development in 2016 is approximately $7.7 million related to an offsite office building and parking garage that is in close proximity to our ground traditional campus. Employees that work in two leased office buildings in the Phoenix area will be consolidated into this new building when it's completed in Late 2016. Although the university is currently funding the construction of the building and parking garage, the university has been marking these along with a recently refurbished office building in the same development, that's part of a sale lease back transaction. Although, we have received a number of offers, we still have not received an offer at an attractive enough cap rate for us to sell. Our cash flows from operations along with the availability on our line of credit gives us flexibility to continue to own these assets. Last, I'd like to provide updated color on guidance we have provided for 2016. As you probably knows, we have again provided estimates for each quarter of 2016. We do this because our financial results continue to become more seasonal due to the significant growth of our ground traditional campus. A large percentage of these students only attend class between the end of August and the end of April. However, a large percentage of the ground traditional campus costs are fixed and these costs continue to grow due to our growth. We must hire additional support staff, if service increasing student body in the spring or summer of each year, so that they are trained and can start working with the soon-to-be students when these students are ready to be registered for the fall semester. Thus, we anticipate our margins will be up year-over-year in the first quarter and fourth quarter, and down in the second quarter and third quarter. Our quarter-end online enrollment was slightly lower than what we expected. Graduates were up 16.5% between Q1 2015 and Q1 2016, and March online new starts were slightly below our expectation. Online new starts were at or above our expectations until the last week in March, and we believe the last week in March was significantly affected by the timing of Easter. April starts were in line with our expectation. We have lowered our enrollment expectations by 600 students for the second quarter, primarily due to us anticipating less ground traditional summer school students than originally expected. We have also reduced enrollments estimates slightly as we're recruiting slightly less students into our non-degree programs than originally planned as program changes were made that incorporated certain portions that had been prerequisite. We have not adjusted revenue guidance though as ground traditional summer school and non-degree students do not generate significant revenues and we anticipate the loss in revenues from these students will be made up by higher ancillary revenues than originally expected. As a reminder, our revenue per student is being slightly impacted by changes between 2015 and 2016, when the traditional campus semesters begin and end, and when the online breaks occur. We estimate the effects of these changes are $1.9 million of additional revenue in Q1, $1.3 million less than revenue in Q2, $5.5 million less revenue in Q3 and $4.5 million additional revenue in Q4. The net change of $400,000 is revenue that will be pushed into 2017, and the large movement of revenue between Q3 and Q4 is due to the fall semester beginning four days later in August this year. On the expense side, expenses in the first quarter were slightly under our expectations in most categories other than advertising, where we're approximately $1 million under budget due to dining differences in spend. Expenses were in line with our expectations in April, and we expect them to be in line through the summer months. We have increased our estimate of weighted average shares outstanding slightly for the rest of the year due to a higher average stock price and higher option exercises. I will now turn the call over to the moderator, so that we can answer questions.
Operator: Thank you. Our first question comes from the line of Peter Appert with Piper Jaffray. Your line is open.
Peter P. Appert - Piper Jaffray & Co. (Broker): Thanks. Good afternoon. So, Brain, at the Investor Day you hosted earlier this year, you outlined some numbers and then (19:02) in fact really interesting inflexion in free cash flow over the next couple years. I'm wondering how you're thinking about that in the context of the transformation of being off the table. Is the capital spending, as a percent of revenue, expected to stay at a much lower level going forward?
Brian E. Mueller - President, Chief Executive Officer & Director: We really got a little bit out in front from a build standpoint this year. We spent more than we anticipated, and especially with regards to residence hall and also classrooms, we got out a little bit in front. And so, we're not changing our enrollment numbers going forward for next year at all on the campus, but we won't have near the CapEx has been next year that we had this year because we just build out in advance.
Peter P. Appert - Piper Jaffray & Co. (Broker): And should we still look at those number you presented though few months ago as operative for the next several years?
Brian E. Mueller - President, Chief Executive Officer & Director: Yes. Yes.
Peter P. Appert - Piper Jaffray & Co. (Broker): Okay. Great. And then, just in terms of kind of, I guess, really noise you're seeing in terms of the timing and enrollment system, is some of that related to the fact that the advertising expense was lower this quarter?
Brian E. Mueller - President, Chief Executive Officer & Director: No. The traditional campus students going in the summer is something that we're new at, and we made a guess and we overestimated a little bit. So, we got hurt a little bit that way and the rest of it was just kind of schedule related, mainly schedule related, with a little bit of that single course problem that was mainly in our nursing area. That single course was impacted by – none of that is really material from a standpoint of guidance that we've given and numbers that we expect to hit going forward.
Peter P. Appert - Piper Jaffray & Co. (Broker): Great. Thanks, Brian.
Brian E. Mueller - President, Chief Executive Officer & Director: Yeah.
Operator: Our next question is from Sara Gubins with Bank of America Merrill Lynch. Your line is open.
Sara Rebecca Gubins - BofA Merrill Lynch: Hi. Thanks. Good afternoon. In terms of demand, could you talk about how start trends looked for bachelor's versus graduate degree students online?
Brian E. Mueller - President, Chief Executive Officer & Director: The demand is as great as it's ever been I think. And we have seen no decline in the demand. The difference is that the markets fragmented, and there's a lot more players. And so, but we are happy about is that, we have been able to stay true to our projections from a quality perspective. Graduate students, as a percent of online students, is up again, which is very difficult to do, we think, in this market but we've been able accomplish that again. And then, even in the undergraduate area, the students that we're recruiting are for the most part in the areas that we wanted to recruit them in. And so, we have not seen a big shift other than from a competition standpoint.
Sara Rebecca Gubins - BofA Merrill Lynch: Okay. And are you seeing any big changes from a competitive landscape in terms of approaches for student recruiting or anything else that where you need to change your approach?
Brian E. Mueller - President, Chief Executive Officer & Director: No. We experiment with stuff all the time. I mean, we always have pilot projects going, and we're always looking at new and different ways to interact with the market and with our potential students. And so that's an ongoing thing, both on ground and online. But as far as us seeing something really different for online students, I can't say that we have. People are getting very aggressive with scholarship offers for ground students, and it happened at about this time last year that same thing happened. We hold the line on that. We make offers – we're usually the first ones to make offers to students from a scholarship standpoint, and we stand by those offers. And if somebody else comes out and says, well, we're going to do this in order to beat your offer, we let that go. We have to be realistic about – we think we have to be realistic about building confidence with families from different schools and in different markets, so that they don't think that you're going to change from one year to the next or one month to the next, what you offer is going to be and how you're going to be go about things. And so, we've seen that change though. In a number of ways, what we're doing here is very disruptive, and people are responding to it but we're not going to respond to it in a way that we think will lessen the perception of who we are in the market.
Sara Rebecca Gubins - BofA Merrill Lynch: Right. And then just last question. Now that the non-profit conversion process is over, should we expect something new from a strategic perspective either online or on ground, and that could be geographic expansion or something else?
Brian E. Mueller - President, Chief Executive Officer & Director: No. I don't think – you shouldn't expect anything different in the next couple years. We were disappointed in some legislation that we try to get through the Arizona legislature with regards to our property tax rate. If anything would change our plans, it would be that but other than that, no, we're still expecting to grow this traditional campus out between 25,000 students and 30,000 students, grow our online campus to 6 percentage points a year and keep growing out new programs. That's the most important thing, is to keep growing out new programs that we think will lead to good paying jobs that will address economic needs for people.
Sara Rebecca Gubins - BofA Merrill Lynch: Right. Thank you.
Brian E. Mueller - President, Chief Executive Officer & Director: Yeah.
Operator: Our next question is from Jeff Silber with BMO Capital. Your line is open.
Jeffrey Marc Silber - BMO Capital Markets (United States): Thanks so much. Just wanted to go back to the competition question. You mentioned some of the competitor is getting more aggressive on the scholarship side. Are they focusing on any specific vertical? And I'll ask the same question for online, are you seeing any more intense competition in any of your online verticals? Thanks.
Brian E. Mueller - President, Chief Executive Officer & Director: There's increased competition in the nursing online vertical and there's increased competition in the education, especially at the graduate level online vertical. So, but that's been coming for a number of years, which is why we're continuing to grow out different programs in both those areas, but we're also really growing our programs in other areas that are more difficult to implement than education in nursing. And so, there's absolutely increased competition in those two areas, but we're doing a good job of holding our own in addition to opening up new programmatic areas, which I think is going to be the most important thing to do from an online standpoint. On ground, it's different, because it's difficult to talk in education on ground. We have a large education program 1,200 students, but that's getting to be a more difficult thing to do and schools are really suffering as a result of it. And we're trying to really help that, but teacher shortage in Arizona is really significant. Nursing is another animal at the undergraduate level because the thing gets bottlenecked with clinical. We could take on more nurses when the hospital have need, but you can't grow because of the bottleneck from a clinical perspective. The area that we expect to really be good for us in the next three years or four years are all the programs in science technology, engineering or math number one because the jobs are really plentiful; number two, because universities don't typically scale those programs and we're trying to put in place the ability to scale those programs.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. Appreciate the color. Moving on with separate target. I'd have this question from investor, so I'm just going to post this to you. Would you consider doing any type of sales leaseback of any of your properties and if so, which ones might they be?
Brian E. Mueller - President, Chief Executive Officer & Director: Yeah. We've looked at it. We've been looking at it for the last couple years. The number one would be this offsite development that we've talked about, and we've been looking at that for over a year. The challenge is just finding cap rate that make sense, the university generate significant cash flow from operations. We've got $150 million line of credit, that's LIBOR plus $175 million. And unfortunately, we just haven't got proposal to off balance sheet any asset at a cap rate below 7%. And so, when you look at that differential between what our own internal borrowing rate is and what those cap rates are, it just, to this point, hasn't made sense. So, we'll keep looking. And hopefully at some point, we can find a deal and if we can, a deal that make sense financially, we will consider it but at this point, we haven't found that.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. I appreciate the color. Thanks so much.
Brian E. Mueller - President, Chief Executive Officer & Director: Yeah.
Operator: Our next question is from Jeff Meuler with Baird. Your line is open.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Yeah. Thanks. Maybe if I could start with a follow-up to what you said to Sara on the property tax legislation getting voted down that would have benefited the university. Brian, how does that impact you're thinking? In your rebuttal letter, I guess, you talk about the vast investments you've made in the area, as well as the freezing of tuition rates. So, how does it potentially impact those two things? And then third, I guess, I don't understand the tax law, but does that have any implications for how you're thinking about sale leasebacks?
Brian E. Mueller - President, Chief Executive Officer & Director: Well, the answer to the first question is that, this is a very unique value proposition that we represent we think as an educational institution. Traditionally, in this country, universities are institutions that require you to invest in them, and in the short run, it costs you money, but in the long run, you're educating students that will participate in the economy and cause it to grow. And so people are accustomed to having to make that sacrifice that's why state subsidized universities and those kind of things. This is much different in that. While we're educating students at a growing number at a very low tuition cost, and those students are expected to make really great contributions to the economy. As an institution, we're making a huge contribution. And so, what we're asking the state to do is, look at us from a unique partnership standpoint because if we can come up with the right relationship, we can be a significant economic driver not just as an educational institution, but as an enterprise that's growing the number of jobs, paying taxes and like most companies do. And so, we're on track to pay 18%. If we keep investing and the value of our property keeps going up, that 18% is, at some point, potentially going to have us do one of two things, either raise tuition, which we don't want to do, we want to continue to return dollars to investors through their value increase of the company without raising tuition; but the other thing is, it would force us to go and think about additional growth of traditional ground students at satellite campus. There are four cities who have talk to us about building a campus because of an unique value proposition that university represent. So, I don't know that we're going to do anything. We would prefer not to do anything, but we have to keep working on having the legislature understand the unique value proposition this is, and look for ways to incent us, encourage us to keep investing especially in this neighborhood that we live in. I was interviewed last week, and at the ending I said, well, if you're asking to go from an 18% rate to a 5% rate, which by the way we would be paying more after the first year, then at the 5% rate than we would be at 18% rate, because we keep investing in the campus. I said, do you mean that if there was a company out there that was willing to move to Arizona and invest $1 billion on a piece of property that they should be looked at? I said, yes, we like kind of those. And I'm pretty sure the state would look at it the same way. And so, we're really disappointed in the result that we'll see where we go going forward.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Okay. And then in terms of online enrollment growth, I understand the impact that Easter timing can have on new enrollment and maybe because you're quoting a year-end number, but if you could just maybe address the deceleration of online enrollment growth of 6% in the first quarter, which is towards the lower end of your longer term range. And how much was that impacted by just the timing of Easter?
Brian E. Mueller - President, Chief Executive Officer & Director: Yeah, it had an impact. We had three things that impacted the quarter-end number. One was a slightly higher graduation number than we expected. And again, we knew these students were graduating, but they graduated slightly faster than we expected and that they didn't count in the quarter-end number. The second, as we talked about was new starts were slightly lower than expected in March, and it was just a very last start in March and it was because Easter was the last week in March this year, where it was in April last year. And so that negatively impacted the quarter results ending enrollment results. And then lastly, we are seeing a little bit of pressure, year-over-year pressure, on our single course students. That does get factored into our enrollment number as long as they're not also in a degree program and some changes were made as Brian said, in our nursing program that reduced the number of students that have to take these single courses before they start a degree program. And so, we're seeing some year-over-year pressure on that number, both on the new start side and the total enrollment side, it's not up year-over-year nearly like it has been trending. And so, none of those things, I think, are concerning to us right now from a long-term perspective, but they did impact the ending enrollment number.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Okay. Thanks, guys.
Brian M. Roberts - Secretary, Senior Vice President & General Counsel: Yeah.
Operator: Our next question is from Trace Urdan with Credit Suisse. Your line is open.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Thanks. I'm going to take you back to that question of Sara and Jeff one more time, and ask you in a slightly different way. So, the dynamic between the bachelor's and the graduate programs online, obviously you are focused on growing the graduate programs and pleased about the kind of growing percentage of graduate students in the mix. And I guess my question is, when we look at the shifting that's taking place in your enrollment, how much of that is due to deliberate efforts on your part in terms of how you're gearing your marketing and how you're thinking about leads and where you're making investments, and how much of it is the market itself irrespective of your own activity? Like, could you reverse that if you changed up what you were doing?
Brian E. Mueller - President, Chief Executive Officer & Director: Yes. We could reverse that very quickly.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Okay.
Brian E. Mueller - President, Chief Executive Officer & Director: It's almost totally due to us engineering it that way. And so, yeah, it's through our marketing, it's through our enrollment practice, it's through our program creation. We're building a lot more graduate programs than we are undergraduate programs. And so, really, it's our own engineering. And so, they put a little pressure on us because graduate students, they graduate at higher percentages and they graduate quicker. And so, you have to be mindful of that as you have continued to build this out, but from a positive standpoint and we have to figure out a way to market is better. It's our undergraduate students on our ground campus grow as a percent of total. We were thinking and most of our models has us graduating them in a four-year timeframe. It's very difficult to find students on campus that graduate in four years. They're graduating in three-and-a-half years, and sometimes they're graduating in three years. We have made it – which is something we have to figure out how to market, because the trend at other universities are going the opposite way. In California, it takes five years or six years to graduate even at our state universities in Arizona students have trouble getting classes, getting excess of classes and they're spending five years or six years. And so, I mean that's not a major challenge or problem at this time. We just have to be mindful of that as two things happen. Percent of all students that are graduate students go up, percent of all students that are undergrad ground students go up. But it positively impact those things that are important to people elect the Department of Education and the Higher Learning Commission. There's a lot of focus on completion rates and graduation rates, which I think is a really good thing, but I also think that's got to be tempered because we have people take classes from other universities, especially other universities offering online programs. And we have to make sure at the university community that the right amount of rigor is built in the programs and that they aren't made easier, so their graduation rates can go up. I can assure people that we won't do that, but there's a temptation there.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Okay. So, just on the follow-up on that, it's really interesting Brian, but the faster graduation rates that you're seeing in your ground students, is that because of the course flow that they're taking when they're there or is it because they're coming in to you with more – with some credits already under their belt?
Brian E. Mueller - President, Chief Executive Officer & Director: It's, one, because they're coming with credits. We have a huge and fast growing consortia about schools across the country that are doing dual credit through us, and then choosing us to come and do their program. But then also, we have made summer school very accessible and every inexpensive. And so, because we employ so many students on our campus, a lot of them are deciding to either stay here and work and keeping going to school or if they go home, because they have a job, they go online. And so, it's not really increasing the load while they're here. That's a very difficult thing to do given how difficult our programs are.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just on the online dynamic that you were describing, do you guys have a target ratio in mind, is there some place where you sort of feel like, okay, this is the right mix. Do you see online becoming a 100% graduate at some point in time?
Brian E. Mueller - President, Chief Executive Officer & Director: I don't think so, but we've talked a lot about 70% of students studying at the graduate level, but we watch those things on a daily basis. We watch them very carefully and very honestly what used to be kind of a nemesis for us which is 34-year-old students going back to school and wanting to complete degrees in Business Administration, for example. In the last number of one months, we're seeing those graduation rates go up. And as those graduation rates go up or if they continue to, we will put more students in those kind of programs. So, the overall trend is that we'd like it to be somewhere between 60% and 70%, but we watch it on a daily basis, and we keep looking for where programs add value to people's lives and where they do, we offer those programs.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Okay. And then I just also wanted to go back to a comment you made in response to one of Sara's questions. I think you said, you made reference to sort of not doing anything for a couple years. And I just wanted to make sure that I heard that right, are you saying that although you're looking at these geographic expansions and these different municipalities are approaching you, you really tabling that for that period of time or was that comment related to something else?
Brian E. Mueller - President, Chief Executive Officer & Director: No, we're not tabling the discussions. We continue to talk to people about the potential. We don't expect to do anything in the next couple years unless something significantly changes.
Trace Adair Urdan - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. Okay. Thank you.
Brian E. Mueller - President, Chief Executive Officer & Director: You bet.
Operator: Our next question is from Alex Paris with Barrington Research. Your line is open.
Chris Howe - Barrington Research Associates, Inc.: Hi. Good afternoon. This is Chris Howe, sitting in for Alex Paris.
Brian E. Mueller - President, Chief Executive Officer & Director: Hi.
Chris Howe - Barrington Research Associates, Inc.: Hi. How should we look at employee expenses for the remainder of the year versus last year in regards to the ramp up hiring? Do you expect it to be greater than it was last year as a percent of revenue to supplement the growth you're seeing on the ground?
Brian E. Mueller - President, Chief Executive Officer & Director: I think it'll be consistent with the hiring that we had in the last three quarters of last year. But as a percentage of revenue, what you're seeing is margin deterioration second quarter and third quarter, and margin expansion first quarter and fourth quarter, because not only because of the hiring that's happening right now for this next fall, but obviously the hiring that's happened in the last few years to support the growing ground enrollment. When we get our ground enrollment, ground campuses and session, basically all the first quarter, all the fourth quarter and only one month in both the second quarter and third quarters, and so we've got this big infrastructure to support those students and most of those costs are fixed, they're not variable. And so, you're going to see deterioration in margins in the second quarter and third quarter because of the ramp up not only for this next year, but over the last few years.
Chris Howe - Barrington Research Associates, Inc.: Thank you. That's helpful.
Brian E. Mueller - President, Chief Executive Officer & Director: All right.
Brian E. Mueller - President, Chief Executive Officer & Director: With that, we've reached the end of our first quarter conference call. We appreciate your time and interest in Grand Canyon Education. If you still have questions, please contact either myself, Dan Bachus or Bob Romantic. Thank you for your time.